Operator: Thank you, and welcome, everyone to FormFactor’s Fourth Quarter 2019 Earnings Conference Call. On today’s call are Chief Executive Officer, Mike Slessor; and Chief Financial Officer, Shai Shahar. Before we begin, Jason Cohen, the company’s General Counsel, will remind you of some important information.
Jason Cohen: Thank you. Today, the company will be discussing GAAP P&L results and some important non-GAAP results intended to supplement your understanding of the company’s financials. Reconciliations of GAAP to non-GAAP measures and other financial information are available in the press release issued today by the company and on the Investor Relations section of our website. Today’s discussion contains forward-looking statements within the meaning of the Federal Securities Laws. Examples of such forward-looking statements include those with respect to the projections of financial and business performance, future macroeconomic conditions, foreign exchange rates, business momentum, business seasonality, the anticipated demand for products, customer requirements, our future ability to produce and sell products, the development of future products and technologies and the assumptions upon which such statements are based. These statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed during this call. Information on risk factors and uncertainties is contained in our most recent filing on Form 10-K with the SEC for the fiscal year ended 2018 and our other SEC filings, which are available on the SEC’s website at www.sec.gov and in our press release issued today. Forward-looking statements are made as of today, February 5, 2020, and we assume no obligation to update them. With that, we will now turn the call over to FormFactor’s CEO, Mike Slessor.
Mike Slessor: Thanks, Jason, and thank you everyone for joining us today. FormFactor delivered record revenue and profitability in the fourth quarter with financial performance surpassing the high end of the outlook range we revised upwards on December 11. The strong performance closed in exceptional 2019 in which we posted 11% top line growth against the semiconductor capital equipment market that shrunk by double digits. Our results again illustrate the robustness of FormFactor’s broadly diversified leadership positions in attractive consumables and R&D driven markets in semiconductor test and measurement. As we move through the early part of 2020 many of the same drivers of our 2019 results are contributing to a strong first quarter outlook. As we noted in December, our fourth quarter benefited from rapidly accelerating demand for foundry and logic probe cards layered on top a steady demand for our other products. The foundry and logic strength was notable in its breadth coming from both 10 and 14 nanometer microprocessor designs as well as an assortment of 5 and 7 nanometer designs ramping it each of the two leading-edge foundries. We also began volume shipments of probe cards to test millimeter wave RF devices which are planned to be a key component in the RF frontends of 5G handset launches anticipated later this year. On the memory front, we ended 2019 with sequential growth in DRAM probe card revenues building on the decade high revenues posted in the third quarter. At the risk of repetition our 2019 DRAM results offer an excellent example of how FormFactor’s demand drivers differ from capital equipment. Probe card demand is not generated primarily from baseline capacity additions, but instead from both customer node transitions and new design releases. Consequently, but instead from both customer know transitions and new design releases. Consequently FormFactor benefits as each of the major DRAM manufacturers execute node migrations such as transitions to the 1Y and 1Z nanometer nodes as well as from architectural and product advances such as DDR5 in both server and mobile implementations. Turning briefly to our team. We welcome Sheri Rhodes to our board of directors during the fourth quarter. As Chief Information Officer of Workday, Sheri adds significant IT and cybersecurity experience. Concurrent with Sheri's appointment, Mike Zellner retired from our board and I'd like to publicly thank Mike for his insight and guidance over eight years of service to FormFactor. I'd also like to recognize the world class performance of our operational team. They've done an outstanding job leveraging our market leading scale to add labor and tool capacity on extremely short cycle times. This enabled us to not only capitalize on the strong demand I've discussed but also to ramp and operate in a relatively efficient way to deliver solid gross margins and strong operating profit leverage demonstrating one of the key attributes of our target financial model. Turning now to the current quarter. We continue to experience robust demand for foundry and logic probe cards extending the same basic themes that drove the fourth quarter. Accordingly, we continue to use the capacity we added in the quarter albeit not only lower utilization levels. We do expect a sequential reduction in the DRAM probe card demand in the first quarter. The major DRAM manufacturers are producing wafers on their new designs digesting and utilizing the large volumes of probe cards we delivered to them during the second half of 2019. With that said with the general strengthening of the DRAM pricing environment and robust new design pipelines from DRAM manufacturers to take advantage of new nodes like 1Y nanometer and new architectures like DDR5 we expect long term DRAM probe card demand to remain solid. In the microprocessor space probe card demand for 14 nanometer designs continues to sustain at high levels even as 10 nanometer designs ramps simultaneously in significant volume. As Moore's Law slows, this extended node overlap is another example of the breadth and diversity of FormFactor’s demand drivers. As a reminder, probe cards are consumable specific to each new chip design and so we benefit both from 10 nanometer node transition and the release of new designs on the existing 14 nanometer node. In the foundry space, we're experiencing strong demand for both the major 5 nanometer mobile applications processor design and multiple 7 nanometer mobile and high performance compute designs. This continues to be a space where FormFactor’s differentiated MEMS probe technology provides significant cost of ownership and performance advantages. This is especially pronounced in advanced packaging applications with high interconnect densities and challenging electrical test performance requirements. With their adoption of new dye level advanced packaging strategies like triplets and heterogeneous integration, our top customers are telling us that their test requirements are expected to get even more challenging. This complexity paired with FormFactor’s market and technology leadership give us an exciting opportunity to provide further value in enabling our customers’ leading edge innovation roadmaps. Our engineering systems business again produce steady results serving R&D and development applications for a variety of electrical and optical devices including next-generation CMOS FinFET structures, silicon carbide power devices and VCSEL optoelectronic sensors. The addition during the fourth quarter of the FRT’s leadership position in optical multi-sensor surface metrology opens up an incremental $150 million of addressable market, primarily in advanced packaging in MEMS applications. We have begun to selectively inject FRT’s leading technologies and products into the worldwide FormFactor footprint leveraging our longstanding partnerships with the top fabulous Foundry, Logic and memory customers. These early efforts are encouraging and we expect to further accelerate FRT’s growth and contribution in the year ahead. We are closely monitoring the Corona virus situation. And like many of our peers who have taken significant preventative measures including travel restrictions with our primary concern being the health and well-being of FormFactor employees, customers and partners. With China recently contributing approximately 20% of FormFactor’s total revenue, the potential demand impact could be substantial and we have attempted to reflect this in our first quarter outlook. However, the rapidly evolving nature of the situation makes this impact impossible to accurately quantify at this time. Finally with average lead times less than a quarter, our visibility remains limited as always. So, we are encouraged by the continued strength of our diversified consumables and are R&D driven demand profile. This strength was clearly demonstrated in 2019 overall and in the fourth quarter specifically where we posted multiple records in a lukewarm semiconductor capital spending environment. Although it is only a single quarter, our fourth quarter results validate our target financial model showing FormFactor has the ability to deliver a $1.25 of non-GAAP EPS and $110 million of free cash flow on an annualized top line of $650 million. Shai, over to you.
Shai Shahar: Thank you, Mike, and good afternoon. As you saw in our press release and as Mike noted our fourth quarter revenue exceeded our updated outlook range and our gross margin was at the high end of outlook range. The combination of these factors coupled with low effective tax rate in Q4 resulted in EPS that was significantly above the end of our updated outlook range. FormFactor's fourth quarter revenues were $178.6 million, a 27% sequential and year-over-year increase. These record quarterly revenues contributed to total fiscal 2019 revenue of $590 million an 11.3% increase compared to 2018. Probe card segment revenues were as quarterly record high of $153.2 million an increase of $36.7 million or 31.5% from Q3 2019. Systems segment revenue were $25.5 million in Q4, an increase of $1.3 million or 5.4% from Q3 2019. FRT revenue included in Q4 came in about $1 million higher than our preliminary estimate of $2 million to $3 million. Within the probe card segment in line with a robust incremental demand we discussed in our December 11 press release, Foundry & Logic revenue increased 53.7% from Q3 to $105.1 million and was 59% of total company revenue in Q4, up from 49% in the third quarter. DRAM revenues were $42.9 million in Q4, an increase of $3.5 million from the third quarter DRAM revenue were $42.9 million in Q4 an increase of $3.5 million from the third quarter and were 24% of total quarterly revenue as compared to 28% in the third quarter. Building of the strength demonstrated over the past two years, this was our highest quarterly revenue from DRAM since Q1 2008. Flash revenues of $5.2 million in Q4 were $3.4 million lower than in the third quarter and were 2.9% of total revenue in Q4 down from 6% in Q3. GAAP gross margin for the fourth quarter of 2019 was $74.3 million or 41.6% of revenues, 230 basis points higher than the 39.3% GAAP gross margin in Q3. Cost of revenues included $7.4 million of GAAP to non-GAAP reconciling items which we outlined in our press release issued today and in the reconciliation table available on the Investor Relations section of our website. The increase of $1.6 million in the non-GAAP reconciling items in Q4 as compared to Q3 is a result of the acquisition of FRT during the fourth quarter. On a non-GAAP basis gross margin for the fourth quarter was $81.7 million or 45.7% of revenues, 220 basis points higher than the 43.5% non-GAAP gross margin in Q3 and came in at the high end of our outlook range. Our probe card segment gross margin was 45.4% in the fourth quarter and an increase of 410 basis points compared to 41.3% in Q3. The increase from Q3 was a result of higher volume and lower manufacturing variances partially offset by higher performance based compensation. Our Q4 system segment gross margin was 48% as compared to 53.9% in the third quarter. The decrease of 580 basis points was driven mainly by less favorable product mix. As we’ve said previously we expect our system segment gross margins to range between the high 40s to low 50s. Our GAAP operating expenses were $50.6 million for the fourth quarter. $4.6 million higher than in the third quarter. In the fourth quarter operating expenses included $6.8 million of GAAP to non-GAAP reconciling items, slightly lower than the $7 million or reconciling items in Q3. Non-GAAP operating expenses for the fourth quarter were $43.8 million or 24.5% of revenues compared to $39 million or 27.7% of revenues in Q3. The increase of $4.8 million is mainly due to higher performance based compensation and the inclusion of FRT operating expenses. Company non-cash expenses for the fourth quarter included $7.4 million for the amortization of intangible assets. $6.1 million for stock-based compensation, amortization of inventory step up of $0.5 million and depreciation of $4.5 million. Amortization of intangible assets was $1.3 million higher than in Q3 as a result of the acquisition of FRT. Stock-based compensation was $0.4 million lower than in Q3 due to the timing of annual grants. GAAP net income for the fourth quarter was $18.6 million or $0.24 per fully diluted share compared to GAAP net income of $8.3 million or $0.11 per fully diluted share in Q3. The non-GAAP effective tax rate for the fourth quarter of 2019 was 17.3%. 650 basis points lower than a 23.8% in Q3. Due to the significant increase in US based income which is taxed at a lower rate versus foreign based income. Non-GAAP annual effective tax rate for 2019 was 22% slightly below our previously communicated estimated range for the year of 23% to 25%, 26%. Fourth quarter non-GAAP net income was $32 million or $0.41 per fully diluted share compared to $17.3 million or $0.22 per fully diluted share in Q3. Moving on to the balance sheet and cash flows. We generated $31.6 million of free cash flow in the fourth quarter compared to $25.6 million in Q3, taking our total cash and investments to $224 million at the end of the quarter. The increase in free cash flow in the fourth quarter as compared to the third quarter was mainly a result of higher revenue and profitability. We spent $11.5 million on principal and interest payments on our term loan during the quarter and the loan balance was reduced to $35 million. This loan will be fully repaid by the beginning of Q3 2020. We funded the FRT acquisition with a new three years’ €21 million denominated loan utilizing the low euro-based interest rates to optimize our cost of capital. At quarter end, our total cash balance exceeded the debt balance by $166 million, an increase of $10.4 million while paying down these term loans remained our first priority for using cash. M&A is an important part of our strategy and we intend to continue to deploy capital to acquire our leadership positions that expand our served markets as we did with the acquisition of FRT. We invested $6.6 million in capital expenditures during the fourth quarter of 2019, bringing our annual investments to $20.8 million slightly above our estimated capital spending plan of $16 million to $20 million for the year. Before turning to our 2020 first quarter outlook, I would like to elaborate on our 2020 non-GAAP effective tax rate. The two biggest drivers impacting our effective tax rates are the mix of the US and foreign taxable income and the foreign derived intangible income deduction which rewards exports for US corporations. In general, the higher our US based taxable income the lower the effective tax rate is. Accordingly, we estimate our overall non-GAAP effective tax rate for fiscal 2020 to be in the range of 15% to 20%. As a reminder, our cash tax rate is expected to remain at a 6% to 8% of non-GAAP pre-tax income until we fully utilize our remaining US based NOLs and R&D credits. Turning to the first quarter of 2020 non-GAAP outlook. As Mike mentioned, we expect the strong year-end demand for foundry and logic probe cards to continue layered on top of continued solid demand for our other products. These factors result in our Q1 revenue outlook in the range of $160 million to $172 million and non-GAAP gross margins to be in the range of 43% to 46%, Non-GAAP earnings per fully diluted share for Q1 is expected to be in the range of $0.27 to $0.35. A reconciliation of our GAAP to non-GAAP Q1 outlook is available on the Investor Relations section of our website and in the press release issued today. With that, let’s open the call to questions. Operator?
Operator: Thank you, sir. [Operator Instructions] Our first question comes from Quinn Bolton from Needham & Company. Please go ahead.
Quinn Bolton: Hey. Thanks for taking my question. This is Charles Shi on behalf of Quinn Bolton. I have a question on the capacity expansion part. So if we look at the Q4 you are – your probe card is already running at about $600 million per year and the very close to your $650 million target model. And I think you are – in the last quarter you spent a $6.6 million CapEx a little bit higher than the original $16 million to $20 million plan. So my question is when I think about next year, right, with the context of what you expect about a demand coming up and what – how should we think about your capacity expansion and associated CapEx?
Shai Shahar: Sure. And thanks for the question, Charles. So our capacity is a function of both flexible labor and some CapEx addition. We added mostly flexible capacity in Q4 and as you heard in the prepared remarks the Q4 CapEx and as you noted was a $6.6 million and slightly higher than in the previous quarter and that brought our total CapEx to $21 million for the year. And the higher level of investment is in line with our higher revenue and the added capacity and we expect to invest in a similar level during Q1.
Quinn Bolton: Okay. Okay. Thanks. And regarding the – I think Mike, you've mentioned – I mean a one month ago at the Needham Growth Conference that to handle that like the search demand like what we saw in the last quarter you had to do deal with less efficient – I mean less efficient way like leveraging – I mean using higher utilization and paying a little higher of the labor. How should we think about that, I mean going into 2020? Do you expect the similar situation to repeat or whether we should think about that differently?
Mike Slessor: Yeah. Well, I think the comments I made at the conference earlier this year, we’re associated with that. Anytime you ramp up capacity that quickly, you're obviously bringing on new labor that needs to be trained. It's not at the peak efficiency. It's going to be over the long run. And we're also retaining the flexibility to bring this capacity back down. So paying temp wages quite a bit of overtime so that we're not substantially adding to our fixed costs in the event the demand moderates a little bit. So when I look at this, we're still in the first quarter probably not operating at peak efficiency levels. And that's consistent with if you noted our gross margin outlook range even at relatively high revenue levels, the top end of that range is 46%. So still operating with some efficiencies – inefficiencies sorry. But we believe those to be a reasonable trade for the flexibility that's going to give us as we move forward through 2020.
Quinn Bolton: Okay. Thank you guys for answering my questions.
Operator: Thank you. Our next question comes from Craig Ellis from B Riley FBR. Please go ahead.
Craig Ellis: Yeah. Thanks for taking the question and congratulations on the strength in the quarter and in the outlook. Mike, I wanted to go back and just reconcile what I thought was a point in the announcement when the company raised the fourth quarter guidance with our outlook. I think at the time, the company's view was that it was being opportunistic around a number of opportunities and certainly there was very good execution there. But with the calendar first quarter's guidance down 7% at the midpoint, it seems like there might be some decent sustainability to what we're seeing so perhaps you can speak to that point maybe just talk about some of the gives and takes as you look at the first quarter, what's more opportunistic, what might be more sustainable?
Mike Slessor: Yeah. So a good observation, Craig, and it goes back maybe a little bit to the point about retaining flexibility. I'll remind everyone that we operate with very short lead times and limited visibility in this business well inside a quarter where most of our business has to turn in the quarter. So flexibility and agility both to the upside and the downside are important in our operating model. When I compare how we currently view the first quarter to the fourth quarter results as we said in the prepared remarks foundry and logic continues to be very strong both in the microprocessor part of the business as well as the foundry part of the business by and large around the same advanced node overlapping advanced node themes that we had at work in the fourth quarter. So those are probably the positive side of the ledger. We did also note that we expect a sequential decrease in DRAM probe card demand first quarter compared to the fourth quarter. But we really think that's mostly due to digestion. If you put this into context in the last half of 2019 we operated at record high shipment levels for DRAM probe cards. Certainly some of that is due to the trends we've talked about like advanced packaging and increased test intensity. But I think it's reasonable to expect that there does need to be a little bit of digestion as our customers use those probe cards and as they move through the middle part of the year probably refresh their new design roadmaps and return to more normalized levels. So in terms of puts and takes I think foundry and logic continues to be strong. We'll see how that last through 2020 DRAM in a bit of a digestion phase. Everything else kind of steady as how that last through 2020. DRAM in a bit of a digestion phase, everything else kind of study issue goes. But that gives us a relatively strong view for the first quarter of 2020.
Craig Ellis: That's helpful. I appreciate that. And then I'll just give a follow up to Shai. Can you just talk about operating expense clearly very well controlled despite the big revenue increase in the fourth quarter? How should we think about the arc of operating expenses we look through 2020? Are there particular initiatives or programs to be aware of in that line item? Thank you.
Mike Slessor: I think the two main changes if we look at 2020 OpEx versus 2019 is first the addition of FRT, all right. We acquired the company in Q4. And in 2020, we're going to have them for the full year. They are adding about $1.5 million of OpEx per quarter. And if you think about let's call it structural annual increases in OpEx related to salary raises, benefit costs which increase year-over-year. So, I’m – if you look at the ranges for 2020, we are probably talking about $42 million to $45 million of OpEx per quarter with the first quarter being at the high end of that range because of the annual benefits we set.
Operator: Thank you. Our next question comes from Brian Chin from Stifel. Please go ahead.
Brian Chin: Hi, good afternoon. Congratulations on the execution this past quarter and year end. Thanks for letting us ask a few questions. Maybe to hone in first, again this is kind of going back to some of the epicenter of the strength that you've seen in Q4 and into Q1 here. But honing in on sort of your largest customer, they're driving a very high level of spend in Q4. Can you talk about your visibility on the sustainability of this run rate moving across the year and that's taking into consideration comments maybe that have been made in recent comments maybe that they made in recent public forums about what they’re trying to do in terms of getting supply out and maybe again in front of that to some degree?
Mike Slessor: Yeah. I think it's a great observation, Brian and it's part of the reason again why we want to retain some flexibility and agility. I think as anybody who operates in the semiconductor supply chain knows today, things are very dynamic. Our fourth quarter showed the ability to really respond to the upside and execute well in capturing the demand. We see with our largest customer and some of the other customers in Foundry & Logic that strength continuing into the first quarter, but it does seem like there's a general consensus that Foundry & Logic spending an investment is probably first-half weighted in 2020. Having said that the constituents of the strength with our largest customer continue to be this sort of the result of Moore's Law slowing driving overlapping activity on both the 14 nanometer and 10 nanometer node, 10 nanometer being a new node that's ramping with relatively high test intensity also plays into the strength of demand for FormFactor’s products at the present time, but I think it's one of those situations where the usual caveats associated with visibility definitely apply here. A general consensus that maybe the overall spending will moderate as we move into the second-half resulting in the first-half weighted these. So I think Foundery & Logic are pretty strong at this point. We'll continue to execute, capture the demand as we can and take advantage of the opportunities as they present themselves.
Brian Chin: Great. Got it. That's helpful. So if I heard correctly maybe some more revenue concentration in the first-half relative to the second for you guys – some moderation in the second-half if I'm not – if I'm hearing you correctly? And then…
Mike Slessor: I think that – yeah, I think that’s a fair working assumption that has pretty big error bars around it, right. I think everybody's visibility is awfully limited at this point not just us.
Brian Chin: Okay. Yeah. Maybe go into something that again is difficult to sort of get a read out on, but Mike you did mention how there is some contemplation in your guidance for the March quarter relative to the coronavirus albeit difficult to quantify sort of the ranges around that. But just to be more clear, is that sort of reflected in the width of your revenue range or more kind of where you put the midpoint on that revenue guide or anything else you can kind of provide there would be and even what you're seeing from a just supply chain disruption standpoint would be helpful?
Mike Slessor: Right. I'll take that. And I will answer to two parts, I would say, I will talk about the demand impact and also about operational and the supply chain impact. So when it comes to the demand as you heard in the prepared remarks because of the additional uncertainty and the difficulty to accurately quantify the impact of the coronavirus at this time, we have lowered our range more than otherwise would have been, but we’re also widening our revenue outlook range. It's now $12 million. If you look at previous quarter, it was $8 million. And we assigned a higher risk to certain transaction, as we took into consideration our backlog what we shipped already to China and others. We closely continue to monitor the situation. And to your specific question we believe our outlook is adequately reflected the current situation we've been taking to the range. That's on the demand side. When it comes to the operational and the supply chain impact, we have significant footprint in China for over a decade now, but very minor manufacturing. And we believe there will be not significant impact on our operations and our supply chain when it comes there to the Corona virus.
Brian Chin: Okay. That’s helpful. Thanks, Jay. Maybe one last question. From a capital allocation standpoint, clearly you are putting a lot of free cash. And it’s clear the bias is with an eye towards M&A as you alluded to in the prepared remarks. Is there any update in terms of – to the extent you can talk in terms of timing and or the characteristics the company is looking for in terms of any potential deal?
Mike Slessor: Sure. I mean as we’ve said, M&A has been and will continue to be a key part of our strategy. We also have as a equally important part of our strategy executing in the serve markets we have leadership positions in now as you can see in the fourth quarter and first quarter outlook. On the M&A front, there is two pieces to it. One, we’re executing a funnel of smaller tuck-in deals, FRT in the fourth quarter an excellent example of a case study of this. Smaller companies may be lacking the channel, the customer relationships and support infrastructure to really take their compelling technologies and drive them to share positions inside with a pretty risk verge customer base. So, we think we’re bringing a lot of value to those kind of companies. FRT again being a nice example that we are beginning to make some progress on. We’re also investigation and where possible trying to execute and pursue deals of scale. A good example of that would have been the Cascade Microtech deal we did back in 2016 that really adds significant revenue, cost synergy and fundamental strategic value to the company changing the character of our EPS. As you might imagine, those are little more challenging to get done, part of the reason why we’re executing on a tuck-in funnel. But we’re not given up hope on being able to continue to do deals of scale that expand our serve market and put the cash we're generating to work for shareholder.
Brian Chin: Okay. Thank you.
Operator: Thank you. Our next question comes from Tom Diffely from D. A. Davidson. Please go ahead.
Tom Diffely: Yes. Good afternoon. So Mike I want to ask a little bit about the 14 nanometer business that you're seeing, obviously it's a fairly mature node at this point and the fact that it's still a robust driver for you. Does that change your long-term view of capital intensity for testing and/or tested intensity and how these nodes could be bigger and longer last than previously thought?
Mike Slessor: Yeah. I think a good observation Tom, I mean, the 14 nanometer node, excuse me, at our largest customers been around for I think push in seven or eight years by now from the first probe cards we shipped. And obviously at some point especially as 10 nanometer really reaches entitlement yields and maturity we'd expect 40 nanometer activity to tail off, having said that, I probably made that comment three years ago. So its longevity and robustness over time has been obviously a very pleasant surprise for our demand drivers. The test intensity for a node that mature does go down over time. The yields go up. Customers work hard to test less and make sure they're really being most efficient with their intensity of spend on capital. But there's any time because of the way wafer test works and probe cards work any time they release a new design even on these mature nodes it creates incremental demand for us. And that's part of what you're seeing not just in the 14 nanometer microprocessor space but when we talk about opportunities like automotive those are back up at 28 nanometer and even 45 nanometer in some cases, but as customers release new designs they need new probe cards driving demand for us.
Tom Diffely: Okay. Thanks. And then, maybe just quickly touch on what you're seeing as far as the broadening of your customer base in the foundry side. I mean, it sounds like that was going to be a big opportunity over the next few years at the leading edge nodes?
Mike Slessor: Yeah. And I think a lot of that still in front of us, we're pleased to be able to report and this was in our prepared remarks that our business at the Apple largest foundry is beginning to diversify, it's still really concentrated on the advanced nodes primarily today big applications processor project at 5 nanometer and then a couple of other projects at 7 nanometer. But the interesting part is the 7 nanometer projects are both mobile and high performance compute and begin to diversify and broaden us out of just having that one application processor project every year. Obviously a big effort for us, we think this customer can grow into the scale and scope of the contribution our largest customer currently makes it's still going to take us several years to do that as more wafer starts move to these advanced nodes where we're relevant and have a competitive advantage, and as we continue to grow our stature as a supplier to this customer.
Tom Diffely: Okay. Great. And then, Shai, I guess looking at the coronavirus the lowering and widening of the range. Was that a specific sector that you’re serving or was it DRAM, logic, foundry or was it just a general taken a haircut across all Chinese or Chinese related customers?
Mike Slessor: I would say it's specific to China, but it’s general over the markets we serve.
Tom Diffely: Okay. And then finally when you look at the OpEx I was surprised when you talked about the increase in the quarter, you did mention increased headcount as a driver of that. Is that just not as meaningful as the two items you mentioned?
Mike Slessor: So some of us or some or even most of the increase in headcount went to COGs, right that’s the direct labor, the flexible capacity we talked about. And for 2020 the increase I talked about answering Craig’s question was some more investments in R&D, some headcount but mostly the inclusion of FRT and the structural annual increases.
Tom Diffely: Okay. Thanks for your time.
Mike Slessor: Thanks.
Operator: Thank you. Our next question comes from David Dooley from Steelhead Security. Please go ahead.
David Dooley: Thanks for taking my questions and congratulations on nice results. Just a couple of macro questions here. Regarding the virus there's at least I think two memory fabs in that Wuhan on or right in the epicenter of the virus. Are you able to get product into there, are you able to ship stuff in and out of the area at this point?
Mike Slessor: Well, we’ve got a couple of things going on, very right now. Obviously the team in China and most of the country has been on a lunar New Year all day. And kind of still is on an extended at least work at home holiday through what we understand to be next Monday. With the Wuhan based customers in particular, I'll remind you that they are primarily flash producers. And as you might remember and could see from our results, we're not a big player in the flash. We do, do reasonably well at the high end of the flash memory market. But we don't have a lot of revenue concentration in that segment or as you might have imagined with those customers in particular. So we haven’t had exercised particular shipment in and out of that region because honestly, we just don’t have a lot of backlog in their mainstream Flash production.
David Dooley: Okay. Excellent. And as far as again on the guidance range for the current quarter, a lot of companies that I've talked to have talked about just kind of extending the Lunar New Year by another week beyond what they would normally see or two weeks and that's how they came up with their lower revenue projections. Is that essentially the logic behind your lower revenue projection, one less week of production in the quarter or maybe just a little bit more color on that?
Mike Slessor: Not necessarily because we don’t have significant production in China. It’s mostly general impact of business overall and more uncertainty, more unknown at this point than specific manufacturing risk.
David Dooley: Okay. And then, final question for me is TSMC has been talking a lot about at the advance nodes, not just at 5-nanometers and 7-nanometers, but maybe include the node before that that they're seeing a higher percentage of parts move into advance packaging or advanced package type package. I'm wondering what you're seeing in the industry at this point? Are you seeing a higher percentage of parts move into the advanced packaging realm?
Mike Slessor: I think the simple answer is, yes. We obviously don't have perfect visibility into all the parts in the industry because our business does tend to be concentrated more at least in the Foundry & Logic side mostly around flip chip and advanced packages, but clearly with the growth we've shown in Foundry & Logic and as we've described before the competitive differentiation we have in testing parts that at packaged with advanced packages. There are almost must be an increased adoption of this. I still think there is a significant amount of it in the front of us. As I talked about in the prepared remarks, the road map reviews we have between our executive team, our R&D team and our key customers. More and more of those discussions are pointed towards the requirements associated with advanced packages whether they be chiplets or fan-out or HBM and memory. And those are driving a set of test requirements that are very, very difficult to meet. FormFactor is probably one of a handful of suppliers who can meet them and keep pace with these really aggressive roadmaps. And so we'll probably seeing some of that contribution today. But I feel like this is one of the big longer term secular opportunities for us as the industry moves forward off not just a front end driven innovation roadmap but using advanced packaging to create the products that are going to differentiate them in the marketplace.
David Dooley: Final question from me. I just had one more, I want to slip in. Do you expect to grow in calendar 2020?
Mike Slessor: A good question and one that we're debating. I think given the comments I made before in response to one of the earlier questions on sort of the house view. Well, the general view maybe not the house view. The general industry view being maybe that's foundry and logic spending is first half weighted. I think you're going to need DRAM to continue its recovery and move forward into a more aggressive growth posture in the second half of the year. And I think we'll need 5G to accelerate. But if we see some of those things happen I don't think it's unreasonable that we could see 2020 be a growth year. The usual caveats associated with less than one quarter visibility don’t allow us to make a definitive statement, but there is some ingredients that if they move ROA in the industry’s way in general, I think we're in pretty good shape to capitalize on it and deliver growth here.
David Dooley: Thank you so much.
Mike Slessor: Thanks, Dave.
Operator: Thank you. [Operator Instructions] Our next question comes from Christian Schwab from Craig-Hallum Capital Group. Please go ahead.
Christian Schwab: Yeah. Congratulations on a great quarter. I guess most of my questions have been asked. I just have one quick one. On market share, can you give us an update of where you think you ended the year in market share in foundry and logic and DRAM and maybe in particular in foundry and logic what the multi-year opportunity for share gains is if things grow with the Taiwanese customer?
Mike Slessor: Yeah. I'm going to have to be a little bit lawfully on that because some of the key data we need to really understand that comes out over the next several weeks both in terms of industry benchmarking reports and some of our competitors reporting publicly. So having said that, I do believe we made structural share gains in our two biggest businesses in probe cards both DRAM in foundry and logic over the year. If you look at DRAM there were some nice designs in the advanced packaging arena like HBM that we executed pretty well on and I think led to some share gains. In foundry and logic, if I just look at the fourth quarter results it does seem reasonable to assume that there must be some implicit share gain in there unless the entire Foundry & Logic space spends at sort of tripled the historical rate that they ever have. And so not being too glib about it, we do need to wait for some of the data. But I feel like qualitatively as we look at our 2019 performance and in particular at the second half 2019 performance that there are some share gains in there.
Christian Schwab: Great, no other questions. Thanks.
Mike Slessor: Thanks, Chris.
Operator: Thank you. And our last question in the queue comes from Tianyan Goellner from Sidoti. Please go ahead.
Tianyan Goellner: Hi. Congratulations on the strong quarter and also solid outlook. And Mike I just have a clarify first and then maybe a follow-up afterwards. So you mentioned about a DRAM probably in the fourth quarter volume, you experienced sequential decline because it will be in the digestion phase. And that may be in the second half either will resume to growth. I assume you mean resume to growth like probably comparable to current level.
Mike Slessor: Yeah so a fair observation. If you put things into a broader context the Q3 and Q4 of 2019 were decade high levels for our DRAM probe card revenue. And so I think it's reasonable to expect that there is some digestion that's going to go on here.
Tianyan Goellner: Okay.
Mike Slessor: …structural fundamental change in long term DRAM probe card spend. And so the levels we delivered in Q3 and Q4 are probably a reasonable expectation for a near term high watermark. If conditions were right maybe we get back to there in the second half of 2020.
Tianyan Goellner: Okay. That's clear. So then still follow-up on the DRAM and how long do you think because now we're really at a very high level. As you pointed out, over decade high, record high level. So how long do you think the DRAM will maintain at the current level [indiscernible] years or at least one year.
Mike Slessor: Well. Again, I think you have to look at these levels probably through a cycle, right. The customers…
Tianyan Goellner: Yeah.
Mike Slessor: …design releases and note shrinks. Ebb and flow as you go through the cycle. And so I think if you look at 2018 DRAM revenue was in the call it $135 million range. 2019 closer to $145 million. So stepped up a little bit. I think there is a reasonable levels to think about long-term DRAM probe card spend. One potential component of upside we talked of a little bit about in the Q&A is the adoption of advanced packaging. DRAM structures like HBM or high bandwidth memory as we've explained in the past driving much higher test intensity. And so that could be something if we get more and more HBM wafer start, you could see an increase in the overall DRAM probe card spend. But that I think this sort of $130 million to $140 million level is about right for an annual DRAM probe card contribution.
Tianyan Goellner: Okay. That's great. And then my last question would be you know do you – can you give any color on what FRT did in the fourth quarter, and any color also in 2020 regarding FRT?
Mike Slessor: FRT, initially we talked about $2 million to $3 million of contribution to Q4. They came in about $1 million better than that. So, that's about $4 million in Q4. If we analyze that, we're talking about $16 million for next year or for this year.
Tianyan Goellner: Okay. That’s all from myself. Okay. That’s very helpful. Thank you and good luck.
Mike Slessor: Thank you.
Operator: Thank you. I show no further questions in the queue and at this time, I would like to turn the call over to Mike Slessor, CEO for closing remarks.
Mike Slessor: All right. Thanks everyone for joining us today. We'll keep you updated on our progress as we navigate through the first part of 2020. Have a great day.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.